Operator: Good day, ladies and gentlemen. Welcome to Nano Dimension's First Quarter 2025 Financial Results Conference Call. My name is Asha, and I'm your operator for today's call. On the call with us today are Ofir Baharav, Chief Executive Officer; Assaf Zipori, Chief Financial Officer; and Julien Lederman, Chief Business Officer. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements, and the safe harbor statement outlined in today's earnings press release also pertains to statements made on this call. If you have not received a copy of the press release, please view it in the Investor Relations section of the company's website. A replay of today's call will also be available on the Investor Relations section of the company's website. Ofir will begin the call with the business update, followed by a question-and-answer session at which time the management team will answer questions. I would now like to turn the conference over to Nano Dimension's CEO, Ofir Baharav. Ofir, please go ahead.
Ofir Baharav: Good afternoon, everyone, and thank you for joining Nano Dimension's first quarter 2025 financial results. Joining me today are Assaf Zipori, our Chief Financial Officer; and Julien Lederman, our Chief Business Officer. Let's look at who we are. We are a digital manufacturing leader. We are changing the way the world designs and manufactures high-performance, high-value parts. We innovate and deliver the industrial manufacturing solutions that are at the pinnacle of multidisciplinary technology, combining hardware, software and materials science. Let's see our systems. What you'll see here says so much about us. By combining software, machine learning, materials science and hardware, we partner with industrial innovators to deliver high-performance, high-value solutions. Let's dive into headline results. Importantly, I want to reiterate that these results are for the first quarter 2025 ending March 31 and thus only reflect Nano Dimension's business. Let's call this our core business, which does not include the acquisitions of Markforged and Desktop Metal as they both occurred in April after the quarter closed. I'll ask Assaf to cover some of the other figures.
Assaf Zipori: Thanks, Ofir.  I will walk you through our financial results for Q1 2025. Just a quick note, my comments today are based on our non-IFRS results. You can find the full IFRS to non-IFRS reconciliations in our earnings release, which was issued earlier today and posted on our Investor Relations website. Total revenue for the period was $14.4 million, representing an 8% growth from Q1 2024 despite macroeconomic headwinds. Our adjusted gross margin for the quarter was 43.8% compared to 49.8% in Q1 2024. Our gross margin in Q1 was impacted by the discontinuation of nonstrategic assets. OpEx, net of onetime expenses, declined to $14 million in Q1 compared to $25.3 million in Q1 of last year. This improvement reflects our focus on cost controls and operational efficiencies. This focused execution is also reflected in our adjusted EBITDA loss of $9 million in Q1. That is compared to a loss of $13.6 million in Q1 2024. Finally, as of March 31, our cash, cash equivalents and investable securities was $840 million. Our cash balance includes our investment in Stratasys. Additionally, it excludes our 2 most recent acquisitions with a combined purchase price of $294.5 million. Now Julien, I will hand it over to you.
Julien Lederman: Good afternoon, everyone. This is a review of some key strategic decisions we have made, which you may recognize from previous communications. This was all part of our program to assess, then transform, then invest and finally, grow. The first key actions in this program were the discontinuation of several products, including Admatec, DeepCube, Fabrica and Formatec. Simply put, these products were not found to deliver sufficient ROI for continued support from shareholders' capital. These decisions were forecast to save around $20 million on annual operating expenses. We believe these results demonstrate our ability to act quickly on decisions that have impact.
Ofir Baharav: Thank you, Julien.  Let's shift to strategic integration programs. We did this through product rationalization and operating model optimization. For our products, we ensure we have a competitive advantage that can command a high margin while making sure our solutions can work towards manufacturing high-value, high-performance parts manufacturing at scale rather than the fabrication of experimental designs and concepts and ultimately deliver a clear ROI for our customers. For our operations, we have further reduced expenses, pursuing world-class financial ratios, broken down organizational silos and moved towards a team with more doers, fewer managers for a flatter organization, better equipped to innovate and deliver value at speed. Let us start looking at Nano Dimension's core business with Markforged. Firstly, Desktop Metal is not included here due to its ongoing independent strategic assessments. I encourage those who are new to this topic to review our previous communications on this subject in April and in May. Back to the slide, you'll see here that Nano Dimension's core business, which is the company as it was prior to the acquisition, was just under $15 million in revenue in the first quarter 2025, while Markforged was just under $17 million. In looking at adjusted EBITDA across the 2 organizations, you can see notable improvement due to our prudent management and cost reductions. Let's shift to post-merger integration or PMI. We appreciate that many of our shareholders have interest in our thinking about the acquisitions. We are focused on growing our business but doing so in a responsible way. We are running product rationalization and operating model optimization processes. For product rationalization, we are ensuring our solutions have a competitive advantage that can demand a high margin and enable high-value, high-performance parts manufacturing at scale. If we do this, we can deliver an ROI for shareholders. For operating model optimization, we are reducing expenses to normal ratios, breaking down organizational silos and shaping the team around more doers, less managers for a flatter organization, better equipped to innovate and deliver value.  A key point.  While we did all of this in the core business, this is exactly how we are approaching post-acquisition integration of Markforged. Moving on, I would normally say more about Desktop Metal at this point. But again, they are going through an independent strategic assessment. For Markforged, we are very excited about post-merger integration developments. We are building on 3 strong foundations Markforged has developed through its years of operations. First, a leading software platform positioned to be a leading multiproduct suite serving the digital manufacturing industry. Second, Markforged FFF technology that is already adopted on factory floors and used for end parts. Third, their metal binder jetting solution which can manufacture exceptional high-performance, high-value metal parts at scale. We must also look at things requiring some change. We're shifting to more strategic sales to deliver more solutions to the leading industrial manufacturing companies. We are reducing operating expenses like we did in the core business. Before going to Q&A, I want to conclude with the following: we are confident we are doing the right things to create shareholders' value. We did the right things to address the Nano Dimension business challenges, and we are doing the same with Markforged. And while we cannot say what will happen with Desktop Metal's independent strategic assessment, I am confident our Board and management team are focused on creating shareholder value by being a digital manufacturing leader through pioneering technology and also a P&L and balance sheet that will be formidable and signal our long-term strength and leadership. Thank you.  I will now open it for questions.
Operator: [Operator Instructions] The first question comes from Troy Jensen with Cantor Fitzgerald.
Troy Jensen: Ofir, I guess I want to ask a little bit on the Desktop Metal. I get it's a strategic review and you can't say much. But I guess my curiosity is on the convertible and whether or not that stays with Desktop? Or is Nano responsible for it now that you guys have acquired the business?
Ofir Baharav: I believe we've elaborated on Desktop and on the convertible in previous communications. We have met and we're meeting our obligations to Desktop Metal. And Desktop Metal right now is managed by an independent management, independent financial advisers and an independent Board, and they will make the decisions that are best for Desktop Metal.
Troy Jensen: All right.  I understand you can't say a lot.  I appreciate that.  But how about Assaf for you, could you help us out maybe 6 to 12 months out, what does the cost structure, the cash burn rates, any insight on what a combined business model looks like for Nano and Markforged?
Assaf Zipori: Yes, Troy, definitely. At this point, we've decided to not provide guidance as we evaluate the strategic alternatives of DM and we are working through the integration process of Markforged and Nano together. I can say that we are very disciplined in our approach towards expenses. We are very mindful of our cash burn. And we will continue and reduce our operational expenses and control our cash as we've been doing. And if you take a look at our Q1 numbers for Nano on a stand-alone basis, you can see that OpEx improved significantly from the previous quarter. And that's what we'll continue to do. So unfortunately, I cannot give you any specific details at this point.
Operator: [Operator Instructions] Since there are no more questions, this concludes the question-and-answer session. I would like to turn the conference back over to the company for any closing remarks. Please go ahead.
Ofir Baharav: Thank you for your participation, everyone, and we look forward to meeting with you for one-on-one calls as soon as time permits. Thank you for today's call.
Operator: The conference has now concluded. Thank you for attending Nano Dimension's quarterly earnings conference call. You may now disconnect.